Operator: Good morning ladies and gentlemen and welcome to Cannae Holdings fourth quarter and full year 2019 earnings conference call. During today's presentation, all parties will be in a listen only mode. Following the presentation the conference will be opened for questions with instructions to follow at that time. As a reminder, this conference is being recorded. I would now like to turn the call over to Jamie Lillis Investor Relations for Cannae Holdings. Please go ahead sir. 
Jamie Lillis: Thank you operator and good morning everyone. We appreciate your participation in our fourth quarter and full year 2019 earnings conference call. Joining me today are Cannae's Chairman Bill Foley, Chief Executive Officer, Rick Massey and Chief Financial Officer, Rick Cox. As a reminder, a replay of this call will be available through 11:59 PM Eastern time on February 28th, 2020. Before we begin, I would like to remind you that this conference call may contain forward looking statements that involve a number of risks and uncertainties. Statements that are not historical facts including statements about our expectations, hopes, intentions or strategies regarding the future are forward looking statements.  Forward looking statements are based on management's beliefs as well as assumptions made by and information currently available to management, because such statements are based on expectations as to future, financial and operating results and are not statements of fact, actual results may differ materially from those projected. We undertake no obligation to update any forward looking statements whether results of new information, future events or otherwise. The risks and uncertainties which forward looking statements are subject to include but are not limited to the risks and other factors detailed in our press release which was released this morning and in the statement regarding forward looking information, risk factors and other sections of Cannae's Form S4 and other filings with the SEC. Let me now turn the call over to Bill. 
Bill Foley: Thank you, Jamie. Cannae continues to successfully execute on a strategy of monetizing legacy investments, nurturing our portfolio company's growth, making new investments and prospecting for future investment opportunities. Dun and Bradstreet or D&B has made remarkable progress in improving its operations in a very short period of time. To achieve this success, our team quickly realigned the business units to increased focus and accountability. As part of this realignment, 18 of 19 senior executives were replaced. A second priority was to accelerate organic sales growth. To achieve this, we reorganized our sales team and restructured D&B's sales compensation plans. The sales organization now systematically tracks and monitors service metrics and key service performance indicators to more effectively assist clients, improve customer satisfaction, and produce new sales and cross sales.  The third priority was to reduce D&B's cost structure and increase operating margins with the goal of removing 200 million annualized expenses in the first year. I am thrilled to report that our team achieved 208 million of cost saves in 2018 and I see opportunities to achieve even more efficiencies in 2020, improving the quality and scope of data and buying or building advanced analytics were the other key initiatives that D&B management team has made great progress towards. D&B's success at achieving these initiatives is evidenced in its fourth quarter results. We achieved organic revenue growth of 6% over the 2018 fourth quarter. Additionally, fourth quarter 2019 EBITDA increased by approximately 18% to $198 million as compared to adjusted EBITDA of $167 million in the year ago, EBITDA margins also expanded by 440 basis points to 41.8%.  During the fourth quarter Cannae made the decision to rebalance our portfolio by selling 5 million shares of Ceridian at a price of $53.08 per share. This resulted in net proceeds of 265.4 million and we recorded the gain of 188.8 million. During 2019 Cannae sold a total of 9 million Ceridian shares for proceeds affordance, $77.9 million resulting in book gains of $342.1 million. On February 10th, February 19th Cannae sold 3.9 million shares of Ceridian at 72.75 per share and total proceeds achieved were approximately $284 million. Today Cannae owns 19.8 million shares of Ceridian common stock representing a 14% ownership position. Based upon Ceridian's closing price of 72.20 per share on February 20th Cannae's stake in Ceridian has a market value of 1.49 billion. Another fourth quarter achievement was Cannae's public offering of approximately 7.5 million primary shares of stock in which we raised net proceeds of 236 million.  This offering helped us expand our institutional shareholder base, provide capital for future transactions and reintroduce the Cannae story to the investment community. Also on January 7th, 2020 we agreed to invest up to 125 million for approximately a 25% position in AmeriLife Group, AmeriLife is a large US independent insurance marketing organization and has developed, marketed and distributed life and health insurance, annuities and retirement planning solutions to pre retirees and retirees for nearly 50 years. We are very excited with the opportunity in AmeriLife given our long track record of acquiring companies, bringing the management and capital to bear, achieving operating synergies and restoring growth. We have a strong network and a very active deal pipeline. We excited with the opportunities that we are seeing and we remain optimistic that we will grow Cannae's assets and returns. With that, I will turn the call over to Rick Massey. 
Rick Massey: Hey, good morning. Thanks Bill. Dun & Bradstreet's just another example of the application of the Bill Foley playbook, that we've been telling the investors about here lately. In Dun & Bradstreet Bill found the deal, put the balance sheet together, raised the capital, found the management team, installed them into their spots, found operating, massive operating synergies and now is achieving, and now Dun and Bradstreet is achieving growth. I'm really happy to be a part of the Bill Foley team and watching the yet again another application of the Bill Foley playbook. For the rest of my talk, I will touch on the our investment in Ceridian or CDAY and the restructuring of our restaurant group and provide a brief update on the healthcare joint venture that we entered into with Carlyle.  Turning to Ceridian, ticker CDAY a leader in payroll and human capital business, during the quarter CDAY delivered growth of 35.4% in Dayforce revenues, which is their software as a service or cloud offering. And uh, that's about 35.7% on a constant currency basis. Ceridian set new records for subscription value of new sales and the subscription value of customers taken alive. The results demonstrate the even stronger demand for their solutions and an acceleration in Dayforce revenues is expected. We believe Ceridian is well positioned for future growth. Turning to our restaurant group American Blue Ribbon holdings as has been earlier reported voluntarily filed a petition for Chapter 11 on January 27th of 2020 in order to reorganize its operations and previous cashflow and position the brands for monetization. As part of this process Cannae provided 20 million in debt financing.  The American Blue Ribbon holding management team and our partner, Trasimene partner Brad Risway have already closed 33 of its underperforming restaurants out of the Village Inn and Baker's Square brands and we expect these store closures combined with other operating initiatives to positively impact cash flow over the balance of the year and provide optionality for our management team. It's important to note that this filing did not involve or affect the business operations of O Charlies these are 99 restaurants. And overall, as we've mentioned in the past, our goal is to monetize the restaurant group investment. On December 31st Cannae completed its contribution of its T System operation, its healthcare coding operation, into a joint venture with Carton & Carlyle group, the JV includes T System and two complimentary medical coding businesses that were contributed in by our other JV partners.  At the closing, Cannae received cash proceeds of approximately $76 million and an approximate 23 million, 23% equity interest in the joint venture. The JV will seek to acquire, integrate and operate other providers and payer services companies. I'll now turn the call over to Rick Cox our CFO to review the financial results of our portfolio companies in more detail. 
Rick Cox: Thanks Rick. To start we ended 2019 with $465.4 million in holding company cash and undrawn credit capacity of $100 million. Subsequent to year end we sold 3.9 million shares at $72.75 per share of CDAY stock for a total of $284 million, which is expected to close today, paid off our margin loan for $75 million and committed 125 million cash to fund their participation in a AmeriLife recapitalization and a loan up to $20 million and debtor in possession financing that supports the reorganization of American Blue Ribbon Holdings. As a result, we currently have $629 million of cash capacity to execute on future investments. Dun & Bradstreet successfully repriced their $2.53 billion term loan B facility and realized a 100 basis point reduction in its interest rate with the ability to get a 25 basis point step down upon an initial public offering. Excluding the cost of the transaction the lower interest rate will save Dun & Bradstreet, approximately $25 million in interest costs annually through the maturity of the term loan B.  More detail on Ceridian's fourth quarter financial results which were released on February 5th can be found on the investor relations section of their website. The restaurant group generated total revenue of $271.3 million in the fourth quarter of 2019 compared to $298.5 million in the fourth quarter of 2018. Total restaurant adjusted EBITDA for the fourth quarter of 2019 increased by $19.2 million to $7.1 million compared to a year ago quarter. ABRH generated revenues of $192.8 million in the fourth quarter, which is a $27.7 million decline to a year ago quarter. The decline in revenue was largely a result of closing 48 underperforming stores over the last four quarters. ABRH delivered an increase of $19.9 million of adjusted EBITDA to $200,000 from a negative $19.7 million in a year ago quarter. The year over year increase of $19.9 million and adjusted EBITDA primarily relates to an increase in same store operating margins as well as cost reduction strategies implemented early in 2019. 99 restaurant generated total revenue of $78.5 million in the fourth quarter of 2019 flat as compared to the quarter of 2018. Adjusted EBITDA was $6.9 million in the fourth quarter of 2019 almost flat as compared to a year ago quarter.  As the management team at ABRH works through this strategic overhaul, which is designed to improve profitability, our management team will continue to stay focused on enhancing the quality of our guest experiences and satisfaction. On December 31st Cannae book value was $1.49 billion or $18.72 per share as compared to 1.125 billion or $15. 58 per share on December 31st, 2018. We remain pleased with the progress we continue to make across our portfolio of brands continuing to position Cannae as a long term driver of value for our shareholders. I'll now turn the call back to the operator to begin our question and answer session. 
Operator: At this time, we will be conducting a question and answer session. [Operator Instructions] Our question is from John Campbell, Stephens. Please proceed with your question. 
John Campbell: Man, you guys have been busy. I hope you're squeezing in some rest and relaxation here and there. On the D&B organic growth that, that has been a really impressive turnaround. You know, you guys, you know, you seem to be ahead of schedule there, you know, last quarter, you know, you called out a couple of things that were maybe one time that maybe spruced that growth up otherwise, but the 6% this quarter, I want to make sure that was organic. And then if there was any impact from the contract timing, maybe if, you know, you pulled forward some revenue last quarter, if that impacted that number this quarter and actually would have been a little bit better. I just want to check on the math there. 
Rick Massey: Well, you've kind of hit on the issue. We did pull forward some revenue, some deals that were going to close in the fourth quarter and they moved into the third quarter. So we were very pleased with the fourth quarter results. The 6% or 6.5% does include the Lattice Organization, which is fairly de minimus. It's, a percent or so. So you can say that's not organic because we acquired the company last June. I mean it's going to be organic beginning next June. But we had a very good quarter. The fourth quarter traditionally is the strongest quarter for Dun & Bradstreet. But frankly, we look forward to another strong first quarter because they pull the former management team pulled so much forward into the fourth quarter of '18 that it makes feel, it'll make our comps fairly easy for the next quarter. The next two quarters will be a little more problematic in that we closed certain operations in the second quarter of last year. And so we're anticipating our growth path to slow down for a couple of quarters and then reinvigorate. 
John Campbell : Okay. And so that kind of low to mid single digit is a good target still for the kind of near, I guess medium term. 
Rick Massey: That's still a good target. 
John Campbell: Okay. And then on the investment services business, you know, I know Pfizer, they have a pretty long history of doing JVs with I guess good assets that maybe didn't get the attention or the investment they probably deserve. So it looks like this one certainly fit in that mold. I'm just curious what you guys saw or what you're seeing with the investment services business. We know what attracted you and what you see is kind of long term opportunity. 
Rick Massey: Once we got into the due diligence and we were dealing on that transaction, we decided to pass. So we did not invest in the Pfizer JV with motive investments. And I understand they have closed the transaction independent of us. So we just, we just couldn't get on the same page as our partners. And we don't want, we have limited cash resources, although they're significant and we just want to make sure that we are picking the right transactions to invest in. 
John Campbell: Okay. And it sounds like you guys had a pretty deep pipeline, obviously a lot of, you know, kind of flush with cash now. On the AmeriLife, it sounds like you did close that. Is that right? At the end of the quarter? 
Rick Massey: I believe it closed the first week of March and we're very excited about it. It's a, it's a well run business but it has terrific opportunities for expansion through acquisition. It is a fractured business and interestingly AmeriLife is the fifth largest provider of annuity customers to F & G the company that FNS just put under contract. So we're really excited about the growth prospects of AmeriLife. 
John Campbell: Okay, that's great to hear. And then anything you called out as far as the contributions and the ownership. 
Rick Cox: I'm sorry.
Rick Massey: You mean on AmeriLife?
John Campbell: Yes.
Rick Cox: We're going to put 125 in it and we will own what about 25% of the equity. 
John Campbell: Okay, great. That's all I got. Thanks guys.
Operator: We have reached the end of the question answer session and that will now turn the call back over to Mr. Foley for closing remarks. 
Bill Foley: Thank you. To conclude, we were very pleased with our fourth quarter results and the significant progress we have made, monetizing legacy investments, nurturing our portfolio companies, making new investments and prospecting for deals. Thank you for your time today. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.